Operator: [Started Abruptly – Technical issue with Webcast] Then Mark will discuss our third quarter results in detail and provide an update to 2014 guidance we will then open up the call for questions. Most of the financial numbers reported and discussed on today's call are based on U.S. generally accepted accounting principles. Please note this call will include forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from management's current expectations. We encourage you to review the Safe Harbor Statements contained in the press release and the slides published today for more complete description. It is now my pleasure to introduce Jim Hughes, Chief Executive Officer Jim?
Jim Hughes: Thanks Steve. Good afternoon and thank you for joining us for our third quarter 2014 earnings call. Let me begin by providing an update on the progress we've made on our manufacturing and technology roadmaps. First with expectations for robust demand next year we have recently begun restarting before the idle lines of capacity at our Malaysia facility. The restart of these lines will add over 360 megawatts of capacity in 2015. Additionally we have started deploying existing toolsets to add two new lines of capacity in our Perrysburg, Ohio facility. The additional lines will be operational around midyear 2015 and provide over 100 megawatts of output next year combined with improved throughput on existing lines our manufacturing capacity not including TetraSun has the potential to increase up to 46% next year depending upon demand levels. Turning to efficiency our full fleet average conversion efficiency for the quarter was 14.2% at 20 basis point improvement from the prior quarter. In the fourth quarter we expect our full fleet to average 14.4% conversion efficiency compared to the 14.9% Q4 fleet average efficiency we communicated at Analyst Day, the difference is not technology related but primarily due to a change in assumed product mix. Currently based on customer requirements we are producing more Series 3 modules and our transition to Series 4 upgraded with our anti-reflective technology coating has been delayed as a result. In addition we have made certain enhancements which do not increase the conversion efficiency but improves the overall stability and energy density of our modules and which increased the energy yield that at the system level, taken together these items account for the difference in our current forecast versus what we communicated earlier this year. We continue to be encouraged by the progress of our CadTel technology, for example recent pre-production runs of significant volume incorporating our latest device improvements have resulted in conversion efficiencies of up to 15.9%, while these improvements are not scheduled to rollout across the fleet until next year this is an example of the progress we continue to make on our technology knowledge roadmap. Slides 5 and 6 show the total outstanding bookings in gigawatts and revenue and the change in those bookings that occurred in the third quarter, this data represents our total business which includes third party module sales. Total outstanding bookings stands at 3.3 gigawatts DC, an increase of 100 megawatts from the prior quarter. We've added new bookings of over 500 megawatts and our year-to-date bookings as of today's call are now above 1.7 gigawatts. Bookings through the end of September were 1.6 gigawatts compared to shipments of 1.1 gigawatts during that time period resulting in a book-to-bill ratio for the first three quarters of the year of about 1.5. Our goal is to achieve a greater than 1 to 1 book-to-bill ratio and with our recent progress we are on track to meet or exceed this target. The single largest booking in the quarter was 141 megawatt AC Luz del Norte project located in Chile which had not been included in our bookings number prior to this point. Since the update we provided last quarter the project has now reached financial close and construction is underway. In the UK we announced earlier today along with BELECTRIC, the groundbreaking of a 46 megawatt DC utility scale power plant in Southern England. This is the fourth project to be executed in the UK under the First Solar and BELECTRIC joint venture that we announced last year. In addition this past quarter our bookings have demonstrated progress in the South Eastern United States with two project announcements in North Carolina's, that’s part of the Duke Energy RFP. First we have signed an EPC agreement to construct the 40 megawatt AC Elm City project, additionally First Solar was announced as the module provider to the 65 megawatt AC Warsaw Solar project which will be the largest solar power plant east of the Mississippi River once completed. Both projects will be owned and operated by Duke Energy. Our bookings in the quarter also showed ongoing geographical diversity with about 42% of bookings from outside the United States. In addition to the projects in Chile and the UK already mentioned, we also recorded bookings in other parts of Europe, Israel and India. Turning to outstanding bookings in revenue terms our expected revenue decreased from 7.5 billion to 7.4 billion reflecting a higher mix of module and module plus volume booked in the quarter. We're seeing increasing demand for our module plus offering which combines a module with the mounting solution and component warranty. Well some offerings may generate less revenue than a full system we will continue to provide the best solution that meets the customers' needs while maximizing the gross margin dollars from each sale. Turning to slide 7, I will now cover our potential bookings opportunities which now stands at 13.7 gigawatts DC, an increase from 12.7 in the prior quarter. The approximately 1 gigawatt increase in new opportunities is due to continued growth in the U.S., Latin America and India. In the U.S. the growth continues to be driven by strong demand across the country driven in part by the exploration of the investment tax credit in 2016. The size of our mid and late stage deals which have a moderate to high probability of success was down slightly to 1 gigawatt resulting from the bookings recorded in the quarter. Slide 8 shows the breakdown of demand by geography. Our opportunity set outside of North America has increased to 7.7 gigawatts or 56% of the total, included in our international opportunity and late stage deals is the recently announced 80 megawatt AC project awarded in Andhra Pradesh, India. Once the PPA is signed on this project it will be counted as a booking this project highlights the momentum we continue to see in our international bookings opportunities. Finally turning to the often asked question of the YieldCo, the company has determined that we are not prepared to file a registration statement and pursue a listed yield vehicle at this time. However we have also determined that the ownership and operation of whole or partial interest in select solar generating assets does have a role as a component part of our overall business model. We will continue to develop generation assets in the U.S. and select other markets and at times we will retain either a whole or partial interest in such assets. As with any asset class we will continue to evaluate our options for the capitalization and governance of such assets. We feel that opportunities for maturation of the marketplace and further optimization of such retained interest remain and have decided to exercise patience. We likely will begin providing greater visibility into our retained ownership interest by reporting it as a separate segment commencing in 2015 as it will have become a material contributor by such time. You can anticipate that we will provide a more detailed financial overview at our traditional Analyst Day in early 2015. Now I will turn it over to Mark who will provide detail on our Q3 financial results and discuss guidance for 2014.
Mark Widmar: All right, thanks Jim and good afternoon. Turning to slide 10 I will begin by highlight the operational performance for the third quarter, production in the quarter was 449 megawatts DC which was essentially unchanged from the prior quarter and 5% higher year-over-year due to higher module efficiency on the same number of production lines. Our factory capacity utilization was 77% down 3 percentage points from the prior quarter. Factory utilization was down sequentially due to the rollout of our anti-reflective coating technology. The average conversion efficiency of our modules was 14.2% in the third quarter which is up 20 basis points quarter-over-quarter and 90 basis points higher year-over-year. Our best line ran up at 14.3% efficiency during the quarter and increased of approximately 20 basis points from the prior quarter. In line with what we communicated on our last quarters call, our lead line efficiency has continued to rapidly improve. During the month of October our lead line efficiency average 14.6%, an improvement of 70 basis points over October of last year. Lastly our module manufacturing cost per watt declined again this quarter due to both efficiency and material cost improvements. During Q3, we achieved a milestone with our fleet average cost per watt excluding utilization below $0.40 per watt. Note this includes freight, warranty and EOL cost as well. Now moving to the P&L portion of the presentation on slide 11, net sales in the third quarter were $889 million compared to 544 million last quarter, the increase is due to higher revenue recognition on our Desert Sunlight Project and various other systems projects under construction. As highlighted last quarter an unexpected inverter system integration issue resulted in the revenue recognition delay on Desert Sunlight. This integration issue has been resolved and the project is on track for completion in the fourth quarter. Partially offsetting the revenue increase from the Desert Sunlight project was the sale of 50 megawatt AC Macho Spring project in Q3 which was accounted for on a completed contract basis. In addition revenue recognition on our Topaz Project was lower quarter-over-quarter as the project nears completion. As a percentage of total net sales our systems revenue which includes both our EPC revenue and solar modules used in the systems [ph] project was 95%, an increase of 7 percentage points from the prior quarter reflecting third quarter – reflecting lower third party module sales. Gross margin in the third quarter was 21.3% a sequential increase of 430 basis points. The increase in gross margin percent was due to the higher revenue recognition on the Desert Sunlight project and the lower mix of module business in Q3. Third quarter operating expenses increased $15 million quarter-over-quarter to a 106 million. The increase is mainly a result of higher R&D spending related to the ongoing roll out of the efficiency improvement programs, TetraSun startup costs and higher project development costs as we work to develop the international market opportunities. On a reported basis, third quarter operating income was 84 million compared to 2 million in Q2. The increase was due to higher sales and gross margin partially offset by higher operating expenses. Third quarter GAAP net income was 88 million or $0.87 per fully diluted share compared to $0.04 per fully diluted share in the second quarter. The third quarter results included a onetime tax benefit of $0.26 per share associated with the exploration of the statute of limitations on a discreet uncertain tax position. Adjusted for this onetime item, earnings per share for the quarter would've been $0.61. Turning to slide 12, I will review the balance sheet and cash flow summary. Cash and marketable securities decreased by approximately $234 million to $1.1 billion, our net cash position decreased to just under 900 million. The decrease in cash was expected as we continue to build Solar Gen 2 and self-developed projects on balance sheet in the third quarter. Consistent with our prior communications we will continue to build projects through substantial completion on balance sheet which will increase our options to optimize the value of the project. Our net working capital including the change in non-current project assets and excluding cash and marketable securities increased by approximately 234 million from the prior quarter. The increase was due to reduction in current liabilities resulting from revenue recognition on Desert Sunlight and an increase in inventory. Our debt increased by 23 million in the third quarter with 56 million of the increase related to the funding of the construction of our 141 megawatt AC Luz del Norte project. As a reminder in Q2 the OPIC Board approved a loan of up to 230 million and the IFC Board approved the $60 million loan to support construction of Luz del Norte, the financing closed in Q3 and we received the initial funding under these loans. The increase was partially offset by payments on our related debt facilities. Our restricted cash including both current and noncurrent increased a 118 million sequentially primarily from the debt procedure related to Luz del Norte construction and from an approximate 61 million First Solar equity contribution to the project. While the 61 million will be used over time to construct the project it has an immediate impact in our ending third quarter cash balance of 1.1 billion. Also as we have communicated on last quarter's call, our restricted cash balance include 73 million of cash used to collateralize and significantly reduced the cost of certain letters of credit. This restricted cash remained highly liquid and can be converted back to unrestricted cash in five days. Cash flow used in operations was $47 million compared to cash flow from operations of $180 million in Q2. Free cash flow was a negative of 107 million compared to positive free cash flow of 60 million in the prior quarter. While operating cash flow was negative for the quarter we continue to build certain products on balance recognizing the higher return potential and optionality this provides to our investors. Capital expenditures totaled approximately $71 million, an increase from $62 million in the prior quarter as we purchase more equipment needed for efficiency programs, the TetraSun product ramp and our Perrysburg manufacturing capacity expansion. Appreciation for the quarter was $60 million compared to $63 million in the prior quarter. Turning to slide 13, I will now discuss our guidance for the remainder of 2014. First we are again reaffirming in our earnings per share guidance of $2.40 to $2.80 and operating cash flow of 300 million to 500 million. Other guidance targets are updated as follows, first we are lowering our net sales range of 100 million to 3.6 billion to 3.9 billion, the revised range reflects a delay in revenue on certain self-developed projects as we have elected to hold them longer than originally anticipated in order to capture incremental value. For gross margin we're raising the high and low end of our guidance range by 1 percentage point to 19% to 20% reflecting the improved pricing environment for self-developed projects and especially as it relates to our Solar Gen 2 project which was sold in the fourth quarter. Partially offsetting the gross margin improvement as an increase in operating expenses to a range of 390 million to 40 million, this increase captures the higher OpEx in our third quarter results and reflects greater investment in our technology and new markets. The low end of our operating income guidance has increased by 10 million to 300 million to 340 million reflecting the improvements in gross margin which is partially offset by the higher operating expenses. As expected tax rate is being narrowed to 18% to 20% based on improved visibility and to the mix of jurisdictional income for the full year. Note that this tax rate does not reflect the onetime tax benefit of $0.26 per share recognized in Q3. Lastly we are lowering our capital expenditures range to 250 million to 300 million resulting from the timing of equipment purchases falling into next year. Relative to our operating cash flow guidance, it is noteworthy to highlight an important dependency. As noted previously our Topaz and Desert Sunlight projects are nearing completion. We anticipate reaching substantial completion on both of these projects in Q4 at which point we will invoice the amounts retained by our customers as a form of security until the project is completed. These payments are expected to be received late in Q4. If we’re unable to collect these funds in a timely manner we may not be able to achieve the cash flow guidance range of 300 million to 500 million, however note, it is important to highlight this is just a timing issue between Q4 of 2014 and Q1 of 2015. Finally our guidance assumes we sell 100% of the interest of Solar Gen. As communicated in announcement on the sale to Southern subject to certain terms and conditions we may retain a minority interest in the project. If we elect to do this it will most likely result in achieving the low end or potentially slightly below the revenue earnings and cash flow guidance. Now moving onto slide 14, I would like to summarize our progress so far this year. First in terms of efficiency, we continue to demonstrate a consistent rate of improvement, our lead line averaging 14.6% in October and preproduction value using our latest efficiency programs running at 15.9% we're demonstrating our ability to execute this roadmap. Next with our bookings of 521 megawatt DC, our year-to-date bookings now stand at over 1.7 gigawatts DC. These bookings combined with 1 gigawatt of mid to late stage opportunities in our pipeline give us confidence in our ability to meet or even exceed our one-to-one book ratio for the year and replenish our pipeline. From a financial standpoint we’re confirming our full-year earnings per share and cash flow guidance. With this we conclude our prepared remarks and open the call for questions. Operator?
Operator: (Operator Instructions). We will take our first question from Paul Coster with JPMorgan.
Paul Coster – JPMorgan: Jim, the flexibility that you are giving yourself in a terms of production capacity next year is quite dramatic really isn't it? What is it that you are seeing that makes you want to have this potential capacity available for next year?
Jim Hughes: Well I think it's not a mystery to everybody that the potential exploration or actually step down of the investment tax credit in the United States market at the end of 2016 continues to pull demand forward and so we want to maximize our ability to capture some of that demand. In addition a number of our international markets are performing very well and we continue to see demand to begin to emerge and manifest itself in those markets and again we want to be in a position to capture that demand to what the extent the early signs we are seeing today continue to develop. So it is basically just reflective of a bottoms up view of what we are seeing in the market over really the next 18 months.
Operator: Our next question is from Ben Kallo with Robert W. Baird.
Ben Kallo – Robert W. Baird: How do you view the overall market with capacity expansions versus you guys expanding capacity and how you’re weighing that and then could you just touch on the YieldCo decision and what factored into postponing it or if it's postponing or it just not doing it altogether? Thanks so much.
Jim Hughes: Sure so in terms of overall capacity there is quite a bit of capacity that is being added to the marketplace right now. And I think our general view is you continue to see a bit of imbalance between supply and demand from an overall capacity standpoint. Having said that I think the market clearly tiers into the higher quality, higher level producers and the lower level producers and different parts of the market have different levels of imbalance. I will say that I think we do have a note of caution about the overall market position as we exit 2016 and move into 2017. The demand that we're pulling forward into 2016 broadly, well we think will result in the slowdown in '17. Now from our standpoint when we do a bottoms up analysis of our opportunities we have more than enough international opportunities that are filling in to replace that but you can't ignore the fact that on a global basis there are a number of markets that look like they could see a decline over the same time period that capacity is getting added so we are cautiously watching to make sure we are not headed into another period of excess capacity. So we’re cognizant that an argument could be made that there is some risk of that. With respect to the YieldCo decision I make essentially we do not feel like that we are missing either gross margin opportunities or market share capture opportunities because we don’t have a YieldCo today. As we have consistently said we’re self-developing projects and those projects continue to be lucrative assets for us. We are keeping those projects on our balance sheet through the commercial operations date and in certain circumstances we are retaining an interest in those projects where we think it makes sense. We may revisit it at some point but when we look at where all of the capital market sit today, where everybody sits today the results we have seen in the marketplace we don’t feel like we are constraining our business by continuing to maintain an optionality type of position, a patient position with respect to that. And I think it's as simple as that.
Mark Widmar: And the other thing I will just add just on the capacity side of it, since we got two questions on this as well. I think the other think we need to connect the dots on as we continue to highlight the progress that we have made around our technology and efficiency roadmap and the cost profile and as we said before as the competitiveness of our technology is increased over time, we would anticipate that we would capture a higher percentage share of the market and I think what's happening is in-line with our previous statements in that regard. We have made the enhancements around the technology; it's becoming more and more competitive than the market. It's creating an element of differentiation and the value proposition that resonates very well with a number of our key customers and it's capturing itself in incremental market share. With that though as, Jim indicated, we will continue to be very disciplined with an awareness of understanding of the oversupply that could be in the market. We will make sure that demand is as complete visibility before the capacity will be added.
Operator: Our next question is from Shar Pourreza with Citigroup Global Markets.
Shar Pourreza – Citigroup Global Markets: Jim, just two quick questions here. First one, is there any, you mentioned on projects, RFPs in the South East, is there any update on the Georgia RFPs that are currently happening? And then maybe you could just comment on sort of where your cost of capital advantage is when there is a YieldCo involved, I think you’ve highlighted before in the past that it's become a little bit more challenging when there is a YieldCo involved given the fact that they could have a more of a cost of capital advantage.
Jim Hughes: Let us start with the latter and then I will defer to Mark, I'm not sure I have the latest information that we have made public on Georgia. But with respect to, a lot of the activity that we are seeing in the marketplace that’s very aggressive is not actually on behalf of YieldCo's, it's on behalf of developers speculating as to the price YieldCo's are willing to pay. We haven't actually seen any of our competitors that have YieldCo's behave in what we view as a significantly undisciplined fashion and pay discount rates that aren't reflective sort of the appropriate risk-adjusted rates, that in part is a component part of our decision. If it was facilitating pricing decisions on the part of others responsible other players that we thought was disadvantaging us, then we would have an urgent need to do something but that’s not what we perceive. There is pricing on the market that we don’t think is rational and we think there will be some disappointment in certain quarters. But we are not going to chase it to the bottom, we’re going to look at what we think are rational, disciplined capital decisions and we were comfortable that our business is going to continue to perform with rational disciplined capital decisions. Mark, you got anything on Georgia?
Mark Widmar: Yes, just on the cost of capital discussion as well, I think maybe it's important as we indicated in the script here as well as in prior announcements we did make a decision to sell Solar Gen 2 to Southern. We took that asset out to market about 4-5 months ago and we included all of the YieldCos in the process of evaluating of what the value of that asset was and the best value came back from a non-YieldCo. So at Jim's point, we're not seeing in the market at this point in time the YieldCos coming up with an advantage cost of capital relative to some of our other partners that we’ve sold to. However, we’re seeing a different behavior in some cases with developers speculating as Jim indicated, with potentially what the cost to capital that they could realize associated with their development assets. On Georgia, we haven't made any public announcements on Georgia. We are in the process of some activities at this point in time that we may be able to make some comments here before the end of the quarter, but we haven't made any public statements at this point in time.
Operator: Next we have Stephen Chin with UBS.
Stephen Chin – UBS: Two quick questions, just a follow-up on the YieldCo or decision to not move forward with one. What does that mean exactly for yourself with all the projects going into 2015? Will you be pursuing equity sales you know sooner rather than later or with the idea that you may retain a whole or partial interest, are you still going to hold off for as long as you can before you commit to something? And just in terms of the capacity flexibility, what does that mean for efficiency for watt and/or cost structure as you reopen certain lines for the average kind of across your capacity? Thanks.
Mark Widmar: I guess on the last one on the capacity side, yes the capacity it will help a little bit of the absorption of cost across the balance of the activities that we are idled, right. But we have been generally as we have talked to that, we have pulled that out as we refer to it as underutilization cost. However it will, on a holistic basis, we will benefit now from full absorption against that underutilization cost. So there will be a positive impact from that perspective. On the YieldCo and the decision we made around this, we will and two things we said in the stated strategy is that we will hold assets longer and we reiterated that a number of times in the script today. That is our intent. We will look to potentially sell a portion, all or maybe none of the asset we may choose to hold. And we will look to what makes the most sense and how do we capture the greatest value for the those assets. We have assets that are highly sought after and that are highly valued and we will look at every possible option to get the best returns for our shareholders.
Operator: Next we have Patrick Jobin with Credit Suisse.
Patrick Jobin – Credit Suisse: Simple one here, so you have alluded to some aggressive bidding by developers rightly or wrongly with their perceived view on where those assets could get bought at. So as I'm struggling to understand why that doesn’t translate into some potential margin pressures for you if you are looking at winning those RFPs, so just help me understand the margin dynamics? And then lastly just any updates on TetraSun? Thanks.
Jim Hughes: Sure. I think you have to consider the margin dynamics in the context of overall demand. So we’re in a fairly robust demand environment where in contrast to a few years ago we have a bit of an ability to high-grade opportunities and that’s what I mean when I say that we’re not going to chase it to the bottom. So it's really in the context of the overall demand environment we have a little bit of a luxury. If those projects ultimately get sold or executed at aggressive pricing and if the overall demand picture is such that we’re going to have to meet that obviously it would create pressure. I think our view at this point is we’re skeptical that it reflects reality. And skeptical that that’s the baseline against which we all have to operate but we will see – time will tell on that and you got to remember the cost curve continues to come down, so what's challenging today may be easy tomorrow.
Operator: And our next question is from Vishal Shah with Deutsche Bank.
Vishal Shah – Deutsche Bank: I wanted to just better understand the actual capacity of self-developed projects that you have on your balance sheet right now and what kind of cash that would be generating if you would do a YieldCo, and then at the same time could you just maybe talk about where you think the PPA prices are in the U.S. utility market right now versus the RFPs that you’re looking at? Thank you.
Mark Widmar: Yes on the first one in terms of capacity of the self-development assets that we have the balance sheet and what type of cash available for distribution would it be able to generate, let's just say that we probably have some of the premier assets in that regard and we would not have if we chose to do that and we believe it was the right decision to make our ability to hit minimum requirements as it relates to cash flow available for distribution or expectations around growth associated with that type of with the YieldCo type of structure, we would not have any challenge in terms of doing that. We have some very high-quality assets that we are currently developing. As it relates to PPA environment it does range, it depends on where you are in terms of what markets across the U.S. and in some cases everyone knows of the $0.05 type of price points that are happening across Texas and that is true. That is happening. We're seeing a higher pricing outside of that so far to the Southeast and now we see in some parts of the Southwest, but I would say you are probably still in the range of around $0.05 to $0.07 or so and on the lower end of that range I would think as Jim, indicated it's questionable whether some of those projects truly will be able to be executed. Time will tell, I think as time moves forward and as we continue to achieve the cost reductions in the efficiency improvements around our module, our overall ability to clear those types of market prices and do that with exceptional return on capital, changes in it is enhanced. In today's market those types of cost points can be very challenging.
Operator: And our next question is from Brian Lee with Goldman Sachs.
Brian Lee – Goldman Sachs: First off on the YieldCo, thought process, I know you talked about at high level, why you’re coming to the decision right now that you are, but are there any company specific issues at play in terms of your ability to defer taxes or the potential to compete with some of your CadTel customers in the U.S., if you were to go down that route? And then secondarily, if I look at your international footprint some of your peers they seem to be gaining traction in China mostly through partnerships. You’ve talked about this opportunity in the past, so just wondering if you can update us on where you stand in that market? How you might size it? And then your views on timing and economics versus some of the other overseas markets you are targeting. Thanks guys.
Jim Hughes: Sure, so I will start with the last one first. So we’ve always been very cautious about the expectations for the China market, while it's very large, execution is certainly challenging and margins also appear to be pretty thin. One of the biggest issues we have with respect to the China market from a development model standpoint is there is lots of curtailments of assets in that market and I think how that develops and what risks that represents gives a significant pause for concern. We have recently hired a new Country Manager. We do have efforts underway, but I would say that our highest grade efforts are elsewhere around the world as opposed to China and in the current opportunity set that we are disclosing, there is no significant China volumes in that opportunity set. So to the extent as we continue to look at the market we identify our strategy that we feel comfortable with, it would be accretive to everything that we have been presenting to-date. And then on the other questions about company specific issues on the YieldCo, I will let Mark address it.
Mark Widmar: Yes, so I don't see it as any company specific issues that there are constraints as we’re thinking about the opportunity. And your comment about whether – are there any inefficiencies or inabilities around the tax basis and potentially you’re alluding to whether we would be able to trade a step up and be able to have the appropriate tax shields and anything else along those lines. Those aren't issues. The common as well around to create some type of conflict with some of our traditional customers, I don’t see that really as being an issue either, if anything, every one of our traditional customers are trying to find ways to deepen their relationships and want to partner with us and they value the First Solar value proposition and the solutions that we can create for them and in some cases as we talk about partial retention of assets, it could be we would partner with traditional customer and then that retained interest that we would hold could be monetized either internally held as an internal asset that we monetize the cash flows over time. It could be held in some type of private YieldCo. it could be held in some kind of public YieldCo, so we have optimum flexibility in that regard with whatever we choose to do with those retained interest. But I would say the main thing is, (indiscernible) key customers that we have traditionally have done business with would prefer to find ways to deepen the relationship with us.
Operator: And the next question is from Sven Eenmaa with Stifel.
Sven Eenmaa – Stifel Nicolaus: First, I want to ask in terms of the system pricing in general for your projects, what are seeing on that market currently? What are the trends?
Jim Hughes: Well I think we answered that at least in the U.S., as we indicated there is some pretty aggressive pricing in certain geographies which would be Texas probably on top of that list and other markets probably be more reasonable around expectations and what's happening in those markets. As you go across internationally it does very market by market but it should be no surprise that pricing in general across most of the jurisdictions are coming down over time, which you would expect as the technology improves the capability to achieve lower LCOEs. It also drives that elasticity of demand associated with it, so we’re in an environment where prices are trending down not only here in the U.S. but internationally as well. And I think you should expect that to continue to happen and that’s why it's important for us to drive our technology road map, drive cost reduction road map and to create solutions that we can efficiently get to market and do those at the lowest cost points possible.
Sven Eenmaa – Stifel Nicolaus: And second question I had, I mean you delayed some of the revenue recognition of the projects here from this year to next year. By holding them, what is the expectation in terms of additional gross margin dollar or earnings capture for you?
Mark Widmar: I mean what's happening right now is in the market is, people are becoming more and more comfortable with the risk profile and are becoming more comfortable with how to value solar assets and so we had a couple of assets that we had thought initially, potentially to engage and try to sell into the market and advance the COD and partly because we wanted to test that market and see how the assets were being valued and we did see improvement in that regard. However, as we have seen now the results of the marketing that we have done particular around Solar Gen, we clearly believe the right thing to do is to hold these assets longer than we have done historically and what we were anticipating to do on a couple of smaller assets and so we will realize more significant economics by holding these assets and selling them next year.
Operator: And our next question is from Krish Sankar with Bank of America Merrill Lynch.
Krish Sankar – Bank of America Merrill Lynch: I had two margin related ones, the first one is can you quantify the margin benefit from selling an asset once fully built? Was this earlier in the development cycle? And the second part of it is, as your mix and the backlog shifts more internationally in other words, as it gets more international megawatts how should we expect the margins and the OpEx to trend?
Mark Widmar: Well the rough order of magnitude of selling an asset let's say final notice to proceed versus selling the asset when it's fully built up an operational, we are generally seeing somewhere in the range of 50 basis points from an unlevered IRR basis which is meaningful as it relates to these assets . So we’re – the trade-off of the query [ph] associated with the asset versus the benefit of the value that you capture at COD is meaningful and very accretive and something we will continue to do.
Operator: And our next question is from Jeff Osborne with Cowen and Company.
Jeff Osborne – Cowen and Company: Off to that and I had a question on tax equity as well, is there a way to quantify the price per watt premium that you would get by holding the project and then I just had a question on tax equity in terms of if the search happens that you’re preparing for with your capacity, do you think there is enough tax equity appetite for a big uptick in solar demand in '15 and '16 if you do get a super cycle?
Jim Hughes: On the price per watt it varies because the price per watt to install you know a project across the U.S. varies and so there is all of that – your impact is going to vary. So I would point you back to basically about 50 basis points of return and you can do the math around that and that will sort of comes back to be pretty meaningful. As it relates to tax equity, yes I think as you get into '15 and into '16, I think there could be some constraints, but that’s also why it's important to find relationships like whether it's with Southern or others that we have dealt with that we can structure transactions with them that effectively allows them to play the role of tax equity and do it in a much more efficient manner than trying to be engaging with the current tax equity players that are in the market that are generally constrained and in terms of the availability and their return expectations are much higher than what we think they should be. And so we have tried to look at other alternatives to leverage and optimize that tax attributes in a most efficient manner and have that flexibility as we move into 2015 and 2016 where tax capacity could become more constrained and as a result of that more expensive .
Operator: And our next question is from Edwin Mok with Needham & Company.
Edwin Mok – Needham & Company: So first question when I look at your booking, actually when I look at like the marginal shipment in terms of revenue and megawatt that you’ve laid out on your presentation, does that include project that you guys plan to eventually hold a balance sheet for a period of time and therefore not materialize into revenue? And then kind of a follow-up question on mid-to-late stage opportunity, that number has come down. Is that a function of the full four-day you guys talk about for 2016 and therefore as a result that number has come down?
Jim Hughes: As it relates to the first one, that’s just the opportunity of the set that we’re evaluating and as it relates to whether again we decide to sell the asset, hold the asset, sell a portion of the asset, those decisions are all made after we have been able to capture the opportunity and then we evaluate the opportunity of making decision, what's the best way to capture the highest return on invested capital, all right. So don't think about that as being discrete to one potential direction or what our intention is around ultimately how to monetize that asset because it will be aggregated up and we will make a decision at the right time again to figure out how do we get the best return on invested capital. I don't think you should think about the – the phases of the early to mid or late stage, I mean there are going to move around. Has there been activity that is being pulled forward especially in the U.S.? That’s true but we’re seeing more robust activity happening outside of that U.S., that’s filling in some of those latter buckets as Jim indicated. We clearly see the opportunity that buffer maybe potentially slower demand in '17 with our international platform and success from that regard.
Operator: And our next question is from Mahesh Sanganeria with RBC Capital.
Unidentified Analyst: This is (indiscernible) for Mahesh. Just a quick one, it seems you’re not pursing a YieldCo for those self-developed assets you mentioned that you could sell a portion or all of them or just hold them on balance sheet. I'm just wondering metrics or economics you will look at to make those decisions whether the project to hold or sell?
Jim Hughes: As I indicated again we will look at many different metrics and return on invested capital and our equity and internal rate of return, the MPV, I mean we’re going to look at it from a lot of different ways and evaluate the optionality that we’ve and make a decision which we think is the right decision to make and again there may be some decisions that we will also look at well given the potential liquidity that can be generated from a particular transaction. We may say we want to sell more of it because we want to benefit ourselves from the liquidity because we have alternative uses of that cash at that point in time that we want to deploy. So it will be a holistic comprehensive analysis and one that’s well informed and insightful again and ultimately to create the best value for our shareholders and optionality for First Solar.
Operator: And our last question comes from Colin Rusch with Northland Capital Markets.
Colin Rusch – Northland Capital Markets: Can you talk a little bit about the logic behind ramping capacity given that you're still at 77% capacity and then also just talk about the bookings how that breaks down between projects and modules?
Jim Hughes: So in the ramping capacity, you have to remember that we are in the midst of implementing the technology road map and there is impact upon our capacity utilization as we roll that technology across the fleet. So that utilization is not necessarily reflective of solely demand. It's also reflective of the changes that are being made to the production facilities to implement the technology road map. Mark, do you have any other comment?
Mark Widmar: Yes and I think what I was trying to say before is that, again the reason for the ramp is the technology and the offering has become more and more competitive. And it's really indicative of the demand profile that we currently see in front of us for 2015. Now we did run at less than full utilization and we've been doing that now for the last couple of years. Again that’s when our technology was disadvantaged and unable to potentially compete at the same level that we wanted it to. As we made the enhancements to the technology and been able to make it more competitive, we have been able to increase our win rate in the market. It's also reflective of our international expansion and successes that we made in those jurisdictions. As we invested across many markets, we’re seeing the paybacks now start to be realized and as we indicated over 40% of our bookings this quarter for example, we’re out of international markets. I remember not too many quarters back people were always asking us when are we going to start to see bookings come from the international markets? Well this quarter we started to see it and we continue to see that in front of us, so it's a combination of the technology overall being more competitive. The successes that we are now starting to see in the international market as we made investments in them over the last few quarters is really what's paying off from that perspective. I think the other one that you said was around bookings between systems and modules, we don't provide that level of detail.
Operator: And at this time this does conclude our question and answer session. And also concludes our call we appreciate everyone's participation.
Jim Hughes: All right. Thanks everybody.